Operator: Welcome, and thank you for standing by. [Operator Instructions] Today's conference is being recorded. If you have any objections, please disconnect at this time. I would now like to turn the call over to Mr. Joel Abramson. Sir, you may begin.
Joel Abramson: Thank you, Carissa, and welcome to the AES Corporation Second Quarter Earnings Call. We appreciate you're being with us this morning. Joining me today are Paul Hanrahan, our President and CEO; Victoria Harker, our Chief Financial Officer; Andres Gluski, our Chief Operations Officer; and other senior members of our management. Before we begin our presentation, let me remind you that our comments today will include forward-looking statements, which are subject to certain risks and uncertainties. For a complete discussion of these risks, we encourage you to read our documents on file with the Securities and Exchange Commission. Our presentation is being webcast and the slides are available on our website, which you can access at www.aes.com under Investor Relations. With that, I'd like to turn the call over to Paul Hanrahan, our CEO. Paul?
Paul Hanrahan: Thanks, Joel, and good morning. Today, I'll briefly comment on our financial performance during the second quarter of 2011. After Victoria reviews the second quarter results in more detail, I'll give an update on several of our other significant projects under construction, as well as our progress on the development pipeline. In the second quarter, we achieved the growth versus the first quarter we were expecting, putting us on a trajectory to hit our full year guidance. Excluding costs associated with our pending DPL acquisition, we earned $0.32 of adjusted EPS during the quarter and proportional free cash flow of $181 million. Year-to-date, we have earned $0.54 of adjusted EPS, which is approximately 50% of the midpoint of our full year guidance of $1.08 to $1.14 prior to the impact of DPL. This strong quarter was driven by volume growth in Chile, from both existing plants, as well as contributions from Unit 1 at our new coal-fired plant in the northern grid, Angamos, which came online in April. Of course, as we indicated last quarter, we did see unfavorable year-over-year trends at our generation businesses in the Philippines and Hungary. Also, our previously disclosed repair efforts in Panama, where we had a partial total collapse in one of our hydroelectric plants, continued to impact both earnings and free cash flow. These negative impacts were anticipated, however, and the repairs to the tunnel for our Panama hydro plant will be completed during the second half of 2012. Thus, we remain on track to achieve our 2011 guidance. At this point, I'll turn the call over to Victoria, who will discuss the results for the quarter and update you on our cost-cutting program, which, as we mentioned during our Investor Day, will be one of our key drivers of earnings growth in addition to bringing our construction pipeline into operation. Victoria?
Victoria Harker: Thanks, Paul, and good morning, everyone. I'll begin with an update on the performance of key operating drivers that impacted our earnings and cash flow results for the quarter. Then I'll walk through our gross margin, EPS and cash flow results, as well as our parent liquidity status. Finally, I'll provide an update on our efficiency efforts today. First, our key operating drivers. Foreign exchange rates largely moved in our favor during the quarter. As a reminder, many of our businesses operate in currencies other than the dollar and, therefore, benefit when those currencies appreciate relative to the dollar. Compared to the second quarter of 2010, the Brazilian real and the euro both appreciated by almost 13%, while the Philippine peso rose approximately 5%. As a result, favorable foreign exchange contributed to improved earnings. Likewise, volume was favorable at most -- as most growth trends in Latin America continued. Our Brazilian utilities had growth of 3%, while our generation businesses in Argentina and Chile had volume growth of 7% and 26% respectively. In Asia and Europe, the volume trends were consistent with our expectations. You may recall that our generation businesses in the Philippines, Masinloc, benefited from higher-than-expected demand growth of 10% last year, which, coupled with low availability at competitors' base load plants, benefited us with very favorable spot prices. This year, by comparison, lower demand driven by relatively cooler weather and better system availability did not provide the same favorability. In Europe, our merchant generation business in Hungary also felt the impact of lower volume due to lower market demand. In addition, we've seen challenging pricing in certain markets where we are no longer benefiting from long-term contract pricing. I've mentioned on past calls that the PPA at Kilroot in Northern Ireland came to the end of its term in the fourth quarter of 2010. Since then, we've been operating under less favorable merchant prices. In addition, annual tariff adjustments in Brazil have suppressed the earnings of our utilities there. Beyond these base business drivers in the second quarter, we began to realize the material contribution from 2 of our major projects coming online this year. At our Maritza plant in Bulgaria, revenue generated from the partial COD achieved in June helped gross margin. At Angamos in Chile, the early COD of Unit 1 also contributed incrementally for the first time this year. Together, these 2 businesses had a positive impact on proportional gross margin of over $30 million relative to the second quarter of 2010 and relative to the first quarter of 2011. A significant offset to these positive trends was the previously disclosed outage at Estí, our hydroelectric plant in Panama. A partial tunnel collapse in late 2010 and the subsequent repair work has exposed the plant to very high spot pricing as it must purchase power to satisfy its contractual obligations. Receipt of insurance proceeds covering both the repair and the business interruption are anticipated in the second half of this year. The plant is expected to be back online during the second half of 2012. All of these key drivers contributed to a second quarter consolidated gross margin of just over $1 billion, an increase of $17 million or 2% compared to 2010. On a proportional basis, we earned $619 million of gross margin, an increase of 4% relative to 2010. You'll note that this increase in gross margin of 2% is well below the rate of increase in revenue, which accelerated by 16%. I'd like to take a moment to provide some context for this dynamic. Revenue increased at a higher rate than gross margin, partially as a result of the pass-through of fuel costs and purchase energy, which increased revenue but did not have a corresponding impact on gross margin. Gross margin was also negatively impacted by the forced outage in Panama due to the tunnel work there. In addition, there was some onetime charges, such as regulatory penalties at Sul in Brazil and a bad debt reversal at Gener in Chile in 2010. In some cases, these higher fixed cost are compensated for in the tariff process, meaning we'll see offsetting benefits in future billing periods. Examples of this include higher people costs in Ukraine and contract services relative to demand management systems at IPL. That said, managing fixed costs is a top priority for management, and through the initiatives we outlined previously, we expect to reverse this trend wherever possible. In the second quarter, adjusted EPS was $0.32, excluding $0.04 of costs related to the pending DPL acquisition. This represents an increase of $0.08 from the second quarter of 2010. In addition to the gross margin drivers I've just reviewed, we continue to benefit from an implied effective tax rate, due to the renewal of TIPRA, a U.S. tax law, in the fourth quarter of 2010, which impacts distribution from certain non-U.S. subsidiaries. Diluted EPS from continuing operations was $0.24, an increase of $0.05 from second quarter of 2010. In addition to the factors I just described for adjusted EPS, diluted EPS was also affected by an increase of $0.07 in unrealized foreign currency transaction gains in the second quarter of 2011 versus the second quarter of 2010. These noncash gains are primarily due to an increase in the valuation of foreign denominated receivables and cash balances, given the strengthening of the euro and British pound since the end of 2010. This is partially offset by the $0.04 loss from the impairment of Kelanitissa, our generation business in Sri Lanka. Now let's discuss cash flow. The cash flow results reflect some of the same trends that impacted earnings. On a consolidated basis, we saw growth in operating cash flow from Latin America, which was offset by declines in Asia and North America. Although our Eastern Energy businesses in New York are now accounted for in discontinued operations, as we work through this terms of their sale, they will still negatively affect consolidated cash flow. Additionally, Eastern was negatively impacted year-over-year by the expiration of hedges, which we benefited from in 2010. In addition, we lost the contributions from the businesses in Oman, Pakistan and Qatar subsequent to their sale in 2010. As a result, our operating cash flow of $675 million was $72 million lower year-over-year on a consolidated basis and lower by $72 million to $294 million on a proportional basis. Consolidated free cash flow decreased by $128 million to $460 million for the quarter. This decrease was driven by lower operating cash flow, as well as higher maintenance CapEx, primarily at its utilities in North America and Cameroon. It's important to note that we expect the free cash flow trend at Panama to improve in the second half by the receipt of the insurance proceeds. On a proportional basis, our free cash flow decreased $101 million to $148 million. Now turning to parent company liquidity. During the quarter, parent company liquidity benefited from the $2 billion debt offerings we completed, which are earmarked to fund the acquisition of DPL at close. In addition, we received $167 million from subsidiary distributions, net of corporate overhead and cash interest expense, during the quarter. Also during the quarter, we retired $200 million of senior secured term loan due in August. Additionally, we spent $145 million for several construction and development projects, such as Maritza in Bulgaria, Laurel Mountain in the U.S., Mong Duong, our coal project in Vietnam, and completed our partnership with Koç in Turkey, in advance of the privatization there. Finally, we repurchased approximately $36 million of shares during the quarter. Including the proceeds of the DPL acquisition financing, our parent liquidity at quarter end is now $3.1 billion, up $1.8 billion versus the first quarter of 2011. Without the DPL infusion, liquidity would be $1.1 billion, a decrease of $200 million versus the first quarter of 2011. I'd like to take a moment now to update you on our overhead transformation program. Back in May, at our Investor Conference, I introduced AES's transformation program to improve cost effectiveness and efficiencies across AES. We expect this initiative to yield $100 million in run rate savings by the end of 2014. During the second quarter, we gained momentum on these initiatives, including outsourcing high-volume financial transaction processes, such as accounts payable and general accounting. We expect to implement outsourcing in Asia and portions of Europe by year-end. In addition, we are in the beginning stages of enhancing and expanding our utilization of financial systems. This provides flexibility to meet multiple recording -- reporting needs, streamlining data collection and increasing automation. In summary, the quarter was in line with our expectations. Looking ahead to the full year, we're reaffirming our adjusted EPS guidance of $1.08 to $1.14, excluding DPL acquisition costs. I would note, excluding DPL costs, we're turning toward the higher end of this range of earnings. That said, our estimates for the DPL acquisition costs may move up to a $0.13 relative to the $0.11 previously discussed due to additional interest costs in 2011. Given projected trends and interest rates, we decided to access the capital markets early to lock in long-term financing attractive rates consistent with our assumptions. In total, this leaves us squarely within the range of our adjusted EPS guidance, inclusive of DPL costs, of $0.97 to $1.03. With that, let me turn it back over to Paul who'll provide an update on our construction projects and development pipeline.
Paul Hanrahan: Okay. Thanks, Victoria. Before I give an update on the construction development projects, I'd like to take a moment and review the recent announcement of the proposed sale of our telecom business in Brazil. Yes, I think the sale is a good example of how we think about portfolio management and how it can add value to the company. In early July, our Brazilian affiliate, Brasiliana, entered into an agreement to sell 2 telecommunication businesses for BRL 1.6 billion or approximately USD $1 billion. A portion of the proceeds will accrue to the shareholders of Eletropaulo, with remainder flowing to Brasiliana of which we own approximately 46%. Although a final decision has not been made, one possible use of these proceeds would be to pay down some very expensive debt at Brasiliana, which carries a 14% interest rate. For our share of Brasiliana, we anticipate recording a onetime gain in excess of $200 million on the transaction in 2011, and on an ongoing basis, we expect it to be accretive to our earnings beginning in 2012 due to the reduction of debt. Now let me turn to our construction program. We continued to make good progress during the second quarter, with approximately 950 megawatts expected to come online by the end of 2011. On June 3, our 670-megawatt Maritza coal-fired power plant in Bulgaria was placed into commercial operation at an initial capacity of 494 megawatts on a gross megawatt basis. As of July 21, the capacity has been tested at 630 megawatts, in line with our plan to reach design capacity of 670 megawatts gross by year-end. In addition, as you may recall, we terminated the contractor for the Maritza project, Alstom, on March 21. We had also requested payment for the performance security posted by the contractor, and on July 6, we received a positive ruling from the court of Versailles, and therefore -- thereafter, received payment of the full amount of demands made under the performance security in the amount of approximately EUR 155 million. Now turning to Latin America. We continue to make good progress towards our schedule to commission approximately 720 megawatts of capacity in 2011. Our 518-megawatt Angamos coal-fired plant in Northern Chile has fully commissioned Unit 1 ahead of schedule. More importantly for the bottom line, Unit 1 achieved a 12% higher output and 6% better efficiency than was guaranteed by the EPC contract. Yet, it, too, has reached full load operation and is on schedule to reach its commercial operation date by the middle of September, which is ahead of its scheduled completion date. During the second quarter, we also continued making progress with the Changuinola hydro project in Panama, filling the reservoir for 223-megawatt hydro project start and starting early commissioning activities. Our current forecast is to have the first hydro unit in operation in mid-September and the second unit in operation by October. Campiche, our 270-megawatt coal-fired project in Chile, also continued progressing well towards its scheduled completion in early 2013. In addition, we have 262 megawatts of wind generation capacity in the United states, China, Europe and India under construction and targeted for completion by the end of 2011. Finally, AES Solar continues to successfully develop and construct projects. We have 127 megawatts in operation, 31 megawatts under construction and expect another 118 to enter construction by the end of the year. Including the 32 megawatts that came online during the quarter, this will bring the total megawatts online to 277 megawatts by the end of 2012. It's worth noting that of these projects under construction, all but 98 megawatts benefit from long-term power purchase agreements and are expected to deliver meaningful earnings in 2012 and beyond. Now I'd like to turn to development. But before I do, I'd like to caveat my comments in light of what has happened to the equity markets, as well as AES stock over the past few days. As we've explained before, we're constantly thinking about how to best allocate capital amongst the various options. Those being to pay down debt, invest in growth opportunities or buy back stock. Our objective is to allocate money to those uses that accrete the most value on a per-share basis. And given where our stock closed yesterday at $10.75, buybacks are, at that level, are obviously very attractive. One of the benefits of our current position is that we do have the ability to pace a portion of our growth pipeline and to defer certain investments, creating flexibility to repurchase shares when the prices fall to absurdly low levels as they did yesterday. Of course, we will do this while maintaining sufficient liquidity to meet our committed funding obligations, such as the acquisition of DPL. So with that context, let me turn to our development pipeline and some of the opportunities that we have to invest that will deliver growth beyond 2012 and those areas that we identified as areas of strategic focus. Looking at Southeast Asia, we entered into non-recourse financing agreements for our 1,200-megawatt greenfield coal plant Mong Duong in Vietnam. As a reminder, this is a $1.95-billion project, and we have $1.46 billion of debt committed, as well as equity from our partners, leaving us with a $235-million commitment approximately. Funding of these agreements is subject to satisfaction of the conditions precedent, but we expect construction to begin in the next few months and commercial operations for both units to be completed in 2015. In Turkey, the government has initiated the privatization process with over 1,000 megawatts of natural gas-fired assets for which bids were submitted at the end of July. Although we passed on this round as we were more interested in the group of lignite coal-fired projects of 600 megawatts coming up for bid around year-end, we take the initiation of this first wave of sales as a good sign. Ultimately, the privatization process is anticipated to put 16,000 megawatts of generation capacity on the market. Now turning to our Wind pipeline. In Europe, we continue to pursue renewable energy projects. Last quarter, we reached financial close and started construction on 30 megawatts in the U.K. and could close another 36 megawatts by year-end. We have a pipeline of over 1,000 megawatts in Europe and expect that we could put another 175 megawatts into construction with attractive returns, by the end of 2012, subject, of course, to whether these will be more attractive than stock buybacks. In the U.S., our pending acquisition of DPLs continues to make progress. Regarding financing for DPL, per our previously stated plan, in the second quarter, we raised approximately $2 billion in AES recourse debt through 2 separate transactions. We moved quickly to access strong high-yield markets, carrying pricing and terms consistent with our expectations. Subject to market and other conditions, we anticipate raising the remaining $1.25 billion of non-recourse debt at the DPL holding company level, sometime in late third quarter or early fourth quarter. On the regulatory approval front, in June, we received early termination of Hart-Scott-Rodino Act waiting period. This is the first of 3 significant regulatory hurdles. The next 2 are FERC and the Public Utility Commission of Ohio or PUCO. With respect to the PUCO approval, the staff and public comment period ended on July 18, and we will begin filing our response by August 18. At that time, the PUCO will set the schedule for the remainder of the approval process. And finally, DPL received SEC approval to distribute its proxy statement. The DPL shareholder vote on the merger is scheduled for September 23. I'd say overall, we're pleased with the progress to date. We still expect to close the deal sometime in the fourth quarter of this year or the first quarter of 2012. With that, I'll turn the call back over to our operator, Carissa, who will open up the call for your questions. Carissa, you want open up the lines for questions from the investors?
Operator: [Operator Instructions] Brian Russo, your line is open.
Brian Russo - Ladenburg Thalmann & Co. Inc.: I was hoping you could comment just a little bit more on the Panama planned outage and replacement power costs. It's -- it looks like your net ownership in Estí is 59 megawatts. Why is the hit on the fuel so large?
Paul Hanrahan: Yes. Andres Gluski, our Chief Operating Officer, you can address that.
Andres Gluski: Yes, sure. Brian, first, replacement power costs have been very high in Panama with the high oil prices. And basically, as you know, we have AES Panama, which is a -- as you correctly pointed out, is half owned by the Panamanian government and half owned by us. So basically, you have 2 things. One, you have that the Estí power plant, the -- you had a collapse in the tunnel, and we stopped -- we had to stop using the hydro plant while repairs are made, which will conclude early next year. And then also, we had certain contracts for Changuinola as well. So basically both are not in operations, and we're having to buy power in the market. But I think, as it's been pointed out, we have business interruption at Estí, and we also have these insurance claims will come -- also the claims for the repair work. And after the close, we've already started to receiving some of the insurance payments, which are not reflected in these results.
Brian Russo - Ladenburg Thalmann & Co. Inc.: Okay. So what would you say kind of the net annualized impact that will be, this year and then I guess next year, until the plant's operational?
Andres Gluski: For this year, it's basically going to be a wash, in terms of all the insurance claims, the business interruptions and the cost of these things.
Brian Russo - Ladenburg Thalmann & Co. Inc.: Okay. So you incurred the replacement power cost in 2Q, but then that'll be recouped in the insurance claims and business interruption later this year?
Andres Gluski: So that's correct.
Brian Russo - Ladenburg Thalmann & Co. Inc.: Okay. So next year, it's a wash as well?
Andres Gluski: Well, next year, you have Changuinola coming online. So next year is a different situation.
Brian Russo - Ladenburg Thalmann & Co. Inc.: Okay. And maybe if you could just address some of the challenges or risks that you guys noted in your 10-Q on the Eletropaulo rate reset. And then maybe -- can you just comment on Kilroot? Are you seeing better pricing next year than what you're seeing this year?
Andres Gluski: Let me go ahead and take first the Eletropaulo tariff reset. And what we are, we really don't have that much of an update to say versus what we've said in the past. They came out in the -- ANEEL came out with a proposal, which was quite draconian, and ABRADEE has, therefore, been negotiating with the ANEEL. And this has been moving in the direction, we think, it'll -- because it's more in the middle. So of course, as you know, the WACC was lowered to about 9.95%. Their proposal was 7.15%. I think we'll end up somewhere in the range around 7.5% to 7.8%. Other things is the X factor, in terms of how volume growth, can the company take advantage of that. And then in terms of the regulatory asset base, again, the issue is how much of the sort of forward-looking CapEx that you're going to spend can be included in that. So you have those different components, I would say that it's, no, going to be not 100% where we were before, but less draconian than what the initial proposal had been.
Brian Russo - Ladenburg Thalmann & Co. Inc.: Okay. And Kilroot?
Paul Hanrahan: Yes. Just one thing I'll mention on the Eletropaulo. The way things are ending up, as Andres said, it's consistent with how we were thinking about the world when we gave our guidance back in the Investor Day. So from that perspective, we don't see it coming out very differently than we had otherwise.
Andres Gluski: Oh, yes. I think basically, as you know, in Kilroot, the Irish electricity authority decided to end the PPA. It was their -- in their power to do so, and it's basically a capacity play. And you have a seasonal adjustment there on -- in terms of Kilroot, and Ballylumford is performing very well.
Brian Russo - Ladenburg Thalmann & Co. Inc.: Okay. And on the portfolio management ongoing initiatives. There have been some recent news reports that the AES holders' partner, or AES as well, might be looking to divest AES Solar. And I know you also mentioned at the Analyst Conference potentially divesting the Wind business as well. Just hoping you can give us some thoughts on that.
Paul Hanrahan: We really can't comment on the Solar process, because it's something we and our partner are thinking through what we do with that business. But I'd say generally, we are always going to be open to transact at values that makes sense. And I think we've looked at Wind, in terms of going back a couple years, could we take that public, could we sell down to a partner. So we'll continue to look at all those options, but it's really going to come from -- I mean, there's no need to divest those. We think they're good businesses. But to the extent that there's strong interest and we can get good value for the businesses, we'd take a look at that. I'd say, what we've seen though, just generically, is that if you look at any of those business, particularly renewable space, very little value being given to development, but yet high value is being given to the operating assets. So if we were to look at something like this, it could also take the shape of us thinking about divesting some of the operating assets and getting some low-cost capital there. In many cases, we're talking about people have expectations of single-digit rates return, and we keep the development and continue to move those forward, because that's really -- if we can be investing at routine returns and then selling them down at single-digit returns, that's not a bad business for us.
Operator: And the next question comes from Ali Agha.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Paul, could you remind us, I think you had mentioned you bought back about 36 million shares in the quarter. What -- as of today, how much capacity do you currently have for buybacks under your authorization?
Paul Hanrahan: I think we -- with the board, if I remember correctly, we had about $500 million. We bought back about $150 million -- $198 million. So we got about $300 million left in that authorization. And I think under our various debt restrictions, we've probably got a little bit more room than that, maybe another $200 million on top of that.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay, okay. And on DPL, I want to get a sense from you. The recent numbers, they laid out the customers switching trends continue to be a factor. In fact, they've also seen switching now in the residential side, which, originally, they've not assumed in the numbers they put out in the proxy. Just wanted to get a sense from you, number one, on how you're seeing those trends versus your own expectations when you price the transaction. And secondly, the staff recommendations that came out for the merger approval process, what's your reaction to some of the conditions they talked about?
Paul Hanrahan: Though I have Andres coming up, I'd say, generally -- I think we talked about it when we announced the acquisition that we probably had different expectations than possibly others did, when we looked at it. And I'd say, where we are overall, we feel it's -- we continue to feel it's in line with what we had expected. But we've been watching very closely those metrics you've been talking about. And, Andres, do you want to comment on those?
Andres Gluski: Sure. Basically, the performance of DPL is in line with what we had in mind when we made the acquisition. It's true that there's been a 5% increase in the switching from people under the ESP to a CRES, but they're capturing a portion of that. On the other hand, the capacity auctions for '14 and '15 came in, I think, higher than the market expected. And also, energy prices, given the, let's say, more stringent Cross-State Pollution Air Rules that have come out in that area, have also sort of pushed up prices. So I think that everything is within the ranges of our expectation. I don't know if -- Ned, do you want to comment on the backdrop?
Ned Hall: Ali, this is Ned. As Paul mentioned in his opening remarks, our comments are due August 18. So we're not going to elaborate with a lot of detail ahead of that on any of the specifics. Generally, I don't think there were any significant surprises, not anything different than we anticipated, and not anything unusual. So I think we expect that we're on track, and we'll work through this in an orderly fashion. And our comments will be filed by August 18.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. And a different question, Paul, about -- all of -- in the news in the media right now on Brazil's economy, some political changes there as well. Just on a macro scale, how is Brazil looking for you guys going forward from the ground there? And any change in your overall expectations, perhaps for Latin America in general, versus what you're assuming in your guidance?
Paul Hanrahan: No, I mean, I don't think so. But let me, Andres, who spends a lot of time there and has been there recently, he might provide a perspective. It's his view.
Andres Gluski: Sure. I mean, basically, Brazil, I mean, the energy demand is growing at 3%. They have a lot of various infrastructure projects underway, specifically the buildout of the oil and gas sector. It's been a big -- and positive. Given what we know today, we have no reason to change it. We continue to see good growth in the markets like Chile and Colombia. But I would say that the things that could change that would be a drop in commodity prices, to some extent, but that's true of most of the regions in the world. So basically, I'd say our views continue unchanged, and as Victoria stated in her statements, we have seen strong growth in most of those markets.
Ali Agha - SunTrust Robinson Humphrey, Inc.: Okay. And last question, on the cost reduction. The $100-million run rate by '14, can you remind us what's embedded in your '11 and '12 guidance for cost reductions?
Victoria Harker: The '11 guidance actually had -- we have severance costs that we're incurring, so it was actually -- we're covering those and hitting our guidance as stated. And we only have about $10 million in the '12, because we're still ramping up some of the activities. At this point, we look to be at least at, if not, above that, just based on the actions so far.
Operator: And the next question comes from Gregg Orrill.
Gregg Orrill - Barclays Capital: Maybe sticking with the cost-cutting program. As you've gone into it, how do you feel about the $100-million target and kind of ability to raise that?
Paul Hanrahan: Victoria will shoot me for answering, but I feel pretty good about it. I think there's probably some upside to that, as we look into it. we're pushing really hard to get there. So I feel very confident that we can get to those levels and probably beat them.
Gregg Orrill - Barclays Capital: And then, Paul, on prior calls, you've talked about as the business changes, initiating a dividend. What are your updated thoughts on that?
Paul Hanrahan: We've been talking about it at the board level. I think what we feel pretty confident about now is its -- in today's environment, with everything we have going on, we're probably not in a position with our debt levels, debt servicing, in a position where we could start paying a dividend. But if we look out, say, by 2013, we're starting to get to levels where we'd probably have enough room or we could, if we wanted to, issue a dividend. We'd have more flexibility then. And I think we'll keep talking about that. But the one thing we do sense is that the investors today currently value yield, and we have a -- we have some very high yielding assets. And we're just trying to think about well, how do we take advantage of that. But clearly, a number of our investors have been pushing very hard for dividend. I think we could be paying a dividend. I think as we get to 2013, we probably are generating enough cash where we can be investing in new projects, paying a dividends. I think when we couple that with asset sales as we move out of the markets that aren't the focus markets, that will even give us greater capacity to be making growth investments and basically trading out of assets with -- and selling them to people who have lower yield requirements, then reinvesting it at higher returns. So I think we'll be talking about that a lot more next year, but you shouldn't expect anything, clearly not this year and probably not next year. Let's say 2013 is a time frame where it becomes very possible to do something.
Operator: And the next question comes from Maura Shaughnessy.
Maura Shaughnessy - MFS Investment Management: Two questions actually. First of all, the concern with the date in the DPL acquisition was a potential cliff, and once ESP ran off, they go into market prices. And now we have to CSAPR rules. Can you just talk about the investment under the -- assuming that the EPA rules actually come to fruition?
Paul Hanrahan: Yes. Let -- Ned Hall can cover that. Ned?
Ned Hall: Maura, we're probably not in a position to offer any insight on DPL at this point. That's probably not appropriate. And in terms of our own fleet on the rules, they're not that inconsistent with the caterer in the historic expectations. There are obviously some allocation differences that still need to be sorted out. IPL will have some level of CapEx that we'll require, but obviously, we're going to balance ultimately what comes with the MACT rules at the end of the year, in terms of investment needs and how to play that all out. So we're not prepared to put a CapEx number out today, but the regulation, as you're aware, in Indiana would allow us to recover those costs through rates. The balance of our North America fleet is mostly already scrubbed and has NOx control, so we don't anticipate any significant capital on the balance of our fleet. Obviously, our O&M costs will change as a result of probably running scrubbers, and SCR is harder than we have historically, but that should be reflected by higher prices in the market as well. So I think -- we feel, overall, like we're in pretty good shape and certainly didn't get any what we would consider to be significant surprises, and I think anticipate that the MACT rules that come out will actually drive what the CapEx requirements will be.
Maura Shaughnessy - MFS Investment Management: Okay. And then, excuse me, secondly, just again on a capital allocation discussion. It seems that the continuation of the trend of your Latin subs materially outperforming the parent company stock. As of last night, Eletropaulo up 23%, Tietê up 2%, Gener up 4% and your stock down 12%, and that could be done on almost any time frame with a material outperformance on the Latin names. I'm just trying to think through. You mentioned buying back some stock, still not the dividend for a while. Any sense as to -- that the Latin stocks grow nothing in a huge way, but in a very defined moderate way and give some very good dividends and proven to have been pretty awesome stocks over time. And yet your -- the AES parent company stock has been under so much pressure, and Eletropaulo stock materially benefited from the dividend announcement, a la -- via the asset sale, the telco asset sales, which was materially above expectations, and the parent company stock, all it does is -- has been going down. So in this venue, I mean, it seems more aggressive. And you have a major shareholder who has been dumping the stock for the last several months. So in this venue, it seems like something more aggressive needs to be done. Maybe that's a commentary or a question, I'm not sure.
Paul Hanrahan: I think it's pretty clear, but -- all I would say to your question is that -- that is, everything you said, we agree with completely, that I think what's clear is that because we are not paying a dividend, that is causing some people to not buy -- or I should say there's a high demand for dividend-paying stocks, particularly companies like us. And having the ability to do that is something we think would materially potentially increase the value of the company. And we think we can get there. The second part is because we have companies that are trading at relatively good price, relative to the parent, there's potential arbitrage there. Some of these are publicly traded. We've got the ability to do some things there. So that's -- that does give us the ability to think about, from a portfolio management standpoint, does that give us the source of funds that makes sense. So I think everything you said, I would agree with.
Maura Shaughnessy - MFS Investment Management: No sense of change of pace in terms of either the share buyback or dividend or you mentioned the stock under '11 looks pretty compelling.
Paul Hanrahan: Yes, definitely a change of pace between the stock above $13 and the stock at $10.75, yes, definitely a change of pace.
Operator: And the next question comes from Brian Taddeo.
Brian Taddeo - Broadpoint Capital: Just a quick one. I was wondering if you can give us an update as where things stand on AES Eastern. Any progress on asset sale, or any progress you made there along those lines?
Paul Hanrahan: Yes, I think that's continuing. I don't know all the details, but the process continues with one of the bidders. And I can't provide a lot more detail on that. But as we get to a certain point where we can, we'll certainly disclose that to the market.
Brian Taddeo - Broadpoint Capital: Can you give a sense of kind of what the liquidity situation looks like at the project now? I mean, after the July payment, how much is -- how much cash is there, et cetera?
Paul Hanrahan: Ned, you want to -- can you comment on that?
Ned Hall: Yes. We're fine through the end of the year.
Brian Taddeo - Broadpoint Capital: I'm sorry. Fine through end of year, think you can make the January payment as well?
Victoria Harker: I don't think we want to comment at this point. Ned's point was that we were fine through the year-end projections that we've given.
Operator: [Operator Instructions] At this time, we have no further questions.